Operator: Welcome to Workday’s Fourth Quarter Fiscal 2017 Earnings Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. With that, I will hand it over to James Redfern.
James Redfern: Welcome to Workday's fourth quarter fiscal 2017 earnings conference call. On the call, we have Aneel Bhusri, our CEO; Robynne Sisco, our CFO; and Philip Wilmington, our Co-President. Following Aneel and Robynne’s prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. We have also posted on our Investor Relations website additional information related to our adoption of ASC606, which Robynne will review during her prepared remarks. Statements made on this call include forward-looking statements, such as those with the words will, believe, expect, anticipate, and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today’s call, we will discuss non-GAAP financial measures, including non-GAAP operating profit and operating margins. These non-GAAP measures exclude the effect on our GAAP results of share-based compensation, employer payroll tax-related items on employee stock transactions, amortization of acquisition-related intangible assets, and debt discount and issuance costs associated with our convertible notes. We will also discuss free cash flows, which are defined as cash flows from operations less certain capital expenditures other than owned real estate projects. These non-GAAP financial measures, which we believe are useful as supplemental measures of Workday’s performance, should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosers regarding these non-GAAP measures including reconciliations with comparable GAAP results, in our earnings press release and on the Investor Relations page of our website. In addition on today’s call, we will discuss our forward outlook for non-GAAP operating margin. A reconciliation of our forward outlook for non-GAAP operating margin with our forward-looking GAAP operating margin is not available without unreasonable efforts as a quantification of stock-based compensation expense required additional inputs such as number of shares granted and market price that are not ascertainable. The webcast replay of this call will be available for next 45 days on our company website under the Investor Relations' link. Also the customer's page of our website includes a list of selected customers and is updated monthly. Our first quarter quiet period begins at the close of business April 15, 2017. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2016. With that, let me hand it over to Aneel.
Aneel Bhusri: Thank you, James. Hello, everyone and thank you for joining us on our fourth quarter fiscal year 2017 earnings call. I'm pleased to report that after slow November that was highlighted on our Q3 earnings call, business bounced back nicely in December and January, and went up having a very strong quarter, by far the best quarter in the history of the company. The fourth quarter was highlighted by strength across the Board in terms of product and geographies. We saw continued success in the HCM space where we closed the two Fortune 500 accounts in the fourth quarter alone. Some notable wins include BP, Deutsche Bank, Dow Chemical and Wal-Mart. We ended the year with 1,528 HCM customers. We now have 136 of the Fortune 500 using Workday Human Capital Management with over 70% of them being in production. We also had a strong quarter for our Financial Management applications, highlighted by 38 new sales for our planning application and the addition of more than 40 core financials customers, including [ph] Wins Atlas (02:58/4), FactSet Research and John Muir Health. We ended the year with the following customer accounts, 324 for core financials, 111 for planning and 452 for expenses. Of note, we now have five Fortune 500 customers who have chosen Workday planning only two quarters into its general availability. And lastly, we also reached our goal of driving acceleration in net new ACV growth for both the fourth quarter and the full year. As we look back on the fourth quarter, I believe several factors let to our strong performance, our industry-leading products and technology, the great efforts of our sales team and the high levels of customer satisfaction across our customer base. Nearly all of the new Workday customers conducted heavy referencing of the different alternatives and the fact that 70% of our customers are live on Workday and 97% are happy with us, clearly set us apart from our legacy competitors both of whom are struggling for just getting customers in their production. Heading into fiscal year 2018 we are focused on capitalizing on our momentum and surpassing $2 billion in revenues this year. In order to prepare for this next wave of growth we have decided to make some changes to our sales leadership and go-to-market model. On leadership front, our Co-President, Philip Wilmington and I are pleased to announce promotion of Chano Fernandez to expanded role of Executive Vice President, Global Field Operations. Over the past three years, Chano has done a phenomenal job building our European and Asia-Pacific teams and delivering great results. Chano brings a broad global perspective and a strong passion for teambuilding and culture. In his new role he will extend his proven consistent approach to sales and sales operations across the globe. You will all be seeing and hearing from Chano at future investor events. As we have grown larger as the company is become evident that we need to constantly adjust our organizations, stay nimble and focused on our key objectives. To that end, we have now clearly divided our North American business into two groups, large enterprise and medium enterprise. While we’ve had separation of the account executive level between large and medium enterprise for some time, we are now taking all the way to the senior sales leadership at a national level and bringing the same approach to the services organization as well. Switching gears to the product side, we are pleased to announce two new SKUs for the fiscal year 2018 sales year, Workday Financial Performance Management which is available today and Workday PRISM Analytics which is on track to be delivered in the fall of this year. Workday Financial Performance Management provides financial consolidation, financial reporting and management porting, and includes a connector that facilitates integration of accounting entries from third-party accounting and general ledger systems. This offering also includes Workday planning and will allow customers who may not be ready to replace the core general ledger to take advantage of Workday’s powerful and robust consolidation analytics reporting and planning functionality. Our second new SKU, Workday PRISM Analytics is analytics platform that provides Workday customer's the ability to blend and analyze Workday data and non-Workday data from multiple sources. Workday PRISM Analytics includes the data repository for storage of data, governance controls, data preparation tools for transformation blending of mix data services and tools to explore and analyze the data. Last October at Workday Horizon we announced that this new offering would be delivered this fall with Workday 29 and I am pleased to share that we are right on schedule. As a reminder, Workday PRISM Analytics has been enabled by the team and technology from our acquisition of Platfora last summer. Wrapping up our commentary on fiscal year 2018 we have all the ingredients for an excellent year. Our business and pipeline are healthy. We have a great team of dedicated workmates. We continue to innovate at the pace of the consumer internet and our customers are happy. As long as we continue to execute on all these dimensions, fiscal year 2018 should be another great year of progress for Workday. Before handing it over to our CFO, Robynne Sisco, I want to take a minute to thank her and our accounting for accomplishing a significant milestone. She will share more details with you shortly, but Workday has just become one of the earliest adopters of the new 606 revenue recognition standard. It’s a strong testament to their hard work and the capabilities of the Workday Financial Management applications where we are able to move so quickly to this new standard that will affect thousands of companies in the upcoming years. Over to you Robynne.
Robynne Sisco: Thanks, Aneel, and good afternoon, everyone. As Aneel just mentioned while we ended FY17 on the historical revenue accounting standard ASC605, I am excited to share that effective February 1, 2017 we had early adopted the new revenue standard ASC606. I will discuss our Q4 and FY17 results on this call according to the historical revenue recognition standard ASC605, but we will provide forward-looking guidance according to the new revenue recognition standard. For comparability, restated financial statements under the new standard for the full-year FY16 and the full-year and quarters of FY17 have been provided on our Investor Relations website. I will also talk more a little later about our early adoption of the new standard, the impact of this change and the significance to Workday, our customers and our products. Our fourth quarter capped another strong year for Workday. Our Subscription revenue grew 39% to $365 million for the fourth quarter and also 39% to $1.287 billion for the year. Total revenue was $437 million, reflecting growth of 35% from Q4 of last year and $1.569 billion or 35% growth for the full-year. We continue to demonstrate strong momentum across our Subscription revenue growth drivers, new customers, renewals and sales of additional products to existing customers. Our momentum and the predictability of our business is positively reflected in our backlog and unearned revenue. At the close of fiscal 2017 our non-cancelable backlog, which represent contractual amounts not yet filled and is not on our balance sheet was $2.54 billion, representing annual growth of 63%. Unearned revenue at the end of fiscal year 2017 was $1.23 billion with annual growth of 37%. Combined the non-cancelable backlog and unearned revenue represents approximately $3.8 billion and future Subscription revenue are almost three times our FY17 Subscription revenue. The financial visibility provided by this feature Subscription revenue gives us high confidence and the sustained strength of our business. Our non-GAAP operating profit for the fourth quarter was $8 million or 1.8% of total revenue. For the year, our non-GAAP operating profit was $29 million or 1.9% of total revenue. Our strong results also translated into strong cash flow. Operating cash flow for fiscal 2017 was $349 million, representing 35% growth from last year. Our free cash flow was also strong increasing to $228 million in fiscal 2017 reflecting growth of 82% year-over-year and representing over 14% of total revenue. The strong cash flows were positively impacted by unusually strong customer collections in Q4 and slower than expected capital spend. Operationally we continue to execute well against our vision and appreciate the continued support we have received from our loyal customers. The annual dollar value of contracts from renewing customers continues to exceed the original contract value supporting our thesis that satisfied customers become long-term customers. We successfully added and integrated approximately 1,400 net new employees to Workday this year, bringing our total workforce at year-end to over 6,600. Now I want to talk about the new revenue standard ASC606. As I mentioned earlier, effective February 1st, Workday has early adopted this new standard, but we are proud to be the first software company to do so. While a significant amount of work went into this project in terms of contract review, documentation and thoughtful interpretation of the standard, our Workday Financial Management products was a key driver enabling us to early adopt. Workday Financial Management includes revenue recognition functionality that allows all Workday Financial Management customers to evaluate, model and then apply these new standards both retrospectively and on a go-forward basis. This functionality is embedded in the core system of record and delivered to customers through Workday's regular update process. Had we been using a legacy financial system, it would not of been possible for us to be an early adopter and our adoption would have cost us considerably more money. It is in times like this, times of significant change that the huge advantage of having a true SaaS cloud financial product is most apparent. We elected to adopt ASC606 under the full retrospective method. As required by this method, we fully restated FY16 and FY17 under the new standard using financial data all the way back to 2010. We were able to adopt under this method because we have detailed accessible historical data in our Workday financial system. Under this method all future reporting will be under the new standard only. We believe many companies will have difficulty accessing their data as far back as necessary and in enough detail to adopt the full retrospective method and will therefore adopt what is known as the modified retrospective method instead. Workday Financial Management functionality also supports the dual reporting under both the old and new standards, which is required under this alternative method of adoption. To ensure full transparency, we have provided restated income statements and balance sheets for the full year of FY16 and for each quarter and the full year of FY17 on both the GAAP and non-GAAP basis. These restated numbers can be found on our IR website along with a brief summary presentation on the new standard and its impact to Workday. As a reminder, this new standard is an accounting change only. It has had no impact on our operating or free cash flow and does not change the underlying strength of our business or the opportunities ahead of us. The following three areas are the primary drivers of changes in our numbers under the new standard. First, the timing of Subscription revenue has been impacted for contracts were invoiced amounts have been lower than the annual contract value. Under the old rules, the revenue recognized was limited to amounts invoiced. Under ASC606 that limitation no longer exists and such contracts are now recognized ratably regardless of the associated contractual invoicing schedule. For Workday less than 5% of our contracts were affected by this change. As a result of this change, our restated Subscription revenue now incorporates some of the headwinds from flexible contracts that we had previously discussed in our results, although that benefit is partially offset by other impacts of the new standard. From a cash flow perspective, however, the full headwind remains and the contractual invoice timing and therefore the collection of cash has not been impacted. Note that, this new standard requires companies to recognize revenue ahead of invoicing in the circumstances described, therefore adding an unbilled component to accounts receivable. Second, Subscription and Professional Services revenues have both been impacted where disproportional discounts lead to reallocations of revenue between Subscription and Professional Services under ASC606. Previously such reallocations could only go one direction from Professional Services revenue to Subscription revenue. Under the new standard allocations can go either direction depending on the facts and circumstances of each particular situation. Only handful of contracts were impacted in this manner, but those contracts have resulted in changes to both Professional Services and Subscription revenue in all restated periods. To give you a feel for the total impact revenue of the new standard, our total revenue growth for FY17 is 36% under the new revenue standard versus 35% as reported. Our Q4 FY17 total revenue growth is also 36% under the new standard versus 35% as reported. The third and most significant impact from ASC606 is in the treatment of contract acquisition costs. We are now required to capitalize a larger portion of sales compensation and to amortize those amounts over a longer period of time. The incremental compensation cost capitalize are for indirect incremental payments on customer contracts were previously we only capitalize direct incremental payments. In short, while we use the only capitalize the sales account rep commissions we now additionally capitalize payments to all off sales leaders whose compensation was affected by that particular sales contract. Also while we previously amortize the capitalize commissions over the term of the specific contract which those commissions related which was generally three years we will now amortize all capitalize compensation over a five-year period which represents our estimated period of benefit of those payments. This change alone positively impacted our GAAP and non-GAAP operating margin by approximately 1.8% in FY16 and 1.2% in FY17. Also as a result of this change, the deferred costs on our balance sheet have increased. The total impact of the new revenue standard on our non-GAAP operating margins is an improvement over our previously reported margins of 1.2% in FY16 and 1.4% in FY17. The improvement to our GAAP operating margins is 1.2% in FY16 and 1.6% in FY17. Now let me turn to guidance, all of our future financial reporting and guidance including our guidance on this call will be under the new accounting standard only and all growth rates are calculated using the restated historical numbers provided. As we begin fiscal 2018, our pipeline and momentum are both strong. We estimate that Subscription revenue for fiscal 2018 will be $1.68 billion to $1.70 billion or growth of 30% to 32%. We expect Professional Services revenue to be approximately $325 million in fiscal 2018 or growth of 15%. We therefore estimate the total revenues for fiscal 2018 will be $2.005 billion to $2.025 billion or growth of 27% to 29%. This puts us on track to be the second pure-play SaaS company to reach the $2 billion revenue milestone. Our Subscription revenue forecast for the first quarter is approximately $892 million to $393 million or 40% growth and is expected to grow sequentially in Q2 and each remaining quarter in FY18 by approximately 5%. We expect Q1 total revenue to be $467 million to $468 million or year-over-year growth of 34% to 35%. At this point, I would historically have also provided detailed billings guidance. However, largely as a result of the changes resulting from our adoption of ASC606, which divorces timing of invoicing from revenue recognition, we have concluded that now is the right time to transition from annual billings guidance to annual operating cash flow guidance. Annual operating cash flow is a metric we focus on internally and one which we believe is a better indicator of performance as we scale our business and improve our profitability. Given the increasing seasonality of our business, both between and within quarters, as well as variations in the timing of contractual customer invoicing, we believe the best way to look at cash flow is on an annual basis. For FY18 we anticipate operating cash flow of approximately $420 million or growth of 20%. We expect to have non-GAAP operating margin of 8% to 9% in Q1 and between 5% and 6% for both Q4 and the full year as we scale our business and incrementally improve our profitability. When considering trends in our profitability, it is important to note incremental margin improvement versus our restated FY17 non-GAAP operating margin of 3.3% and not versus the 1.9% margins I discussed earlier today under the old standard. We anticipate Professional Services margins will be lower in fiscal 2018 as compared to fiscal 2017 as we invest in programs to ensure ongoing customer success. The GAAP operating margin is expected to be lower than the non-GAAP operating margin by approximately 25 percentage points to 26 percentage points in Q1 and 26 percentage points to 27 percentage points in both Q4 and for the full-year. During FY18 we expect to grow our employee base by approximately 1,500 net new people. We expect FY18 CapEx excluding our own real estate projects to be approximately $160 million. We continue to invest in our new development center and other real estate projects at our Pleasanton headquarters. In fiscal 2018 we expect capital expense for these projects to be approximately $175 million including CapEx from FY17 that was delayed due to the unusually wet weather in the Bay Area this winter. The entire project is still expected to be ready for occupancy in fiscal 2019 and we continue to fund construction from cash on our balance sheet. With that, let's begin the Q&A process.
Operator: [Operator Instructions] Your first question comes from Mark Murphy with J.P. Morgan. Your line is open.
Mark Murphy: Yes. Thank you and congratulations on a nice finish to the year. So, Aneel, in the Q3 earnings call you had commented that the first month of Q4 had started out slowly with some deal slippage and you did not include that language this time, is it fair to conclude that linearity in Q1 has started out a little more robustly or more normally, and also are the underlying issues around Brexit or whether it’s Brexit or trade and tariff et cetera, is that looking like a blip in retrospect is still out there to some extent?
Aneel Bhusri: In terms of linearity, it’s so early in the quarter, but I think that it’s back to businesses, November was just an odd month, actually second half of October and November were just odd -- an odd time period. I'm not sure of Brexit and other things have completely gone away, but they don't seem to be impacting our business right now.
Mark Murphy: Great. And just as a follow, Aneel, I was thinking back to the Q4 earnings call year ago and at that time you had talked about the potential for accelerating that new ACV bookings growth and I think you had also commented that the pipeline for financials was up 150% year-over-year. And so now, I think, seeing -- we have seen your Subscription revenue growth did accelerate here in Q4. Do you see parallel, in terms of the set up for fiscal year ’18 and in particular, I'm wondering if the availability of planning is boosting the financials pipeline coming into this year.
Aneel Bhusri: There is no question that planning is having a very positive impacts and in my prepared remarks I talked about a new SKU, Financial Performance Management, which basically takes planning, general ledger and a connector, therefore you get all the benefits of Workday’s planning and consolidation of financial reporting, management reporting and give a legacy general ledger as a database, that taking with a traction of planning really bodes well as just another new revenue stream on our financial products. And to your point we now have five Fortune 500 companies using our planning, that's as fast ramp as I have ever seen in the new module. And in terms of set up, it feel really good going into this year. I like the organizational changes we’ve made. In terms of clear alliance between medium enterprise and large enterprise, we have different competitors in those two buckets and then so I make a change to Chano, I think, we now have a very straightforward global way of go-to-market, which is really important as we continue to penetrate the global marketplace.
Mark Murphy: Thank you.
Operator: Your next question comes from Karl Keirstead with Deutsche Bank. Your line is open.
Karl Keirstead: Thank you. Aneel, as DB signing a big deal, gets the next the front of the [ph] QL (26:37), I will see if we can do this every quarter.
Aneel Bhusri: Sure. [Inaudible] (26:44)
Karl Keirstead: Okay. Thanks for including me. So, I’ve got a question, maybe it’s for Robynne. So, Robynne, on the decision not to give billings guidance with the operating cash flow, I guess, I have two questions. One is, in the past you have mentioned that growth in operating cash flow shouldn’t approximate billings growth and I'm wondering should we loosely assume therefore that that 20% operating cash flow guide for fiscal ’18 is roughly what the models generating on the billing side? And then, secondly, given that, we are not going to have the billings metric and you're only giving us an annual operating cash flow, if that's the proxy for the health of your business, is there anything that you can give us in terms of the quarterly operating cash flow to help monitor the performance of Workday? Thanks so much.
Robynne Sisco: Yeah, Karl. So as you are aware, there are timing differences between billings and operating cash flow. So cash flow lags billings by 30 days or more and can sometimes actually roll into the following quarter. We also have more continuing to invest in our business, which impacts our cash outflows and the timing of large payments to suppliers is also a factor, so the operating cash flow number is little more complex than billings, as you’ve got things going both directions, they've got more ins and outs. On your second, we really look at operating cash flow on an annual basis. There's a lot of seasonality with cash flow ins and outs between the quarters and so we don't really believe that guiding to it on a quarterly basis really get too much insight into the business. There will be some new disclosures that you will get under the new accounting standards as well and we’ll talk more about that next quarter, when we start disclosing those metrics and there will be things around unearned revenue, as well as each total future revenue under contract.
Karl Keirstead: Got it. Okay. Thank you.
Operator: Your next question comes from Walter Pritchard with City. Your line is open.
Walter Pritchard: Hi. Thanks. A question for Aneel. Just on financials, it seems like, a couple years ago, I wouldn’t have thought you would bring in product that might try to bridge customers from an existing financial products and it feels like maybe that business has evolved more slowly than you expected. I'm wondering have you’d all change your view of -- the size of the financials opportunity, the timing of the financials opportunity and as a result your pace of investment in that product area?
Aneel Bhusri: No. We are still very optimistic and fiscal year 2017 was a great year. I mean, we are now at 320 core financial customers and at this point in HR. It was a foregone conclusion that the market was moving in that direction and that’s how we feel. I think for some of the larger companies though, they view core counting the way some of our large customers view payroll, something that works doesn’t have user interface, maybe let’s push that down the road, but what they want is all the functionality from the reporting, the analytics, the planning and planning really opened up this threat and if you were think about it to take the analogy of one of our competitors. They talk about their financial wins, but it's really about [ph] Hyperion (30:09) and what we're seeing is that market around financial planning -- Performance Management is just a very hot market right now and if the customer has Workday HR payroll, Workday Financial Performance Management we are getting at the core accounting now or later, it’s just a matter of time. So if anything, I think, the market opportunity has grown. Two years ago we won’t even thinking about being in the performance management phase and today planning and Financial Performance Management is really new growth sector for us that has surpassed our expectations.
Walter Pritchard: And Robynne, could you just help clarify, there’s been a couple large deals that you’ve announced and acknowledged and I think lot of investors are trying to understand what’s in those or what from those deals is in the billings and cash flow we saw say this quarter and in the January quarter than what we will see in April. Just generally how those sorts of large deals are rolling out in terms of billings and cash flow progression?
Robynne Sisco: Yeah, Walter. So we can't talk about specific terms on specific customer contracts. Needless to say, these deals didn't happen overnight. They were in our pipeline and so we've built large deals, as well as all of our other deals into the guidance that we've provided.
Walter Pritchard: Okay. Great. Thank you.
Operator: Your next question comes from Keith Weiss with Morgan Stanley. Your line is open.
Keith Weiss: Thanks. And thank you guys for taking the question. I think, both of these are actually for Robynne. One, I was hoping you could just help me understand a little bit better of why the new accounting standard means you can't give billings growth, I didn’t make that sort of any connection very well? And two, on the operating cash flow guidance, maybe to double down on Karl’s question. Is there anything in particular that’s happening in the upcoming fiscal year that would significantly sort of take away or add to that operating cash flow number that we should be to, yeah, thinking about in terms of other working capital accounts?
Robynne Sisco: Yeah. Keith, so to answer your first one, it’s not specific to the new standard, but what happens one of the impacts of the new standard is that the revenue recognition of the contract is completely divorced from the invoicing schedule. And so due to this, as well as our increase in compounding seasonality we've been experiencing, the increase in contract complexity and variability we've been experiencing. We believe this metric is increasingly less relevant for gauging our business progress, so we thought this was the perfect time to move away from it and towards something that we focus more on internally, which is the operating cash flow. In terms of your second question on operating cash flow, there is really a lot of ins and outs. Keep in mind that operating cash flow does not include capital spend either on our datacenters or for our owned real estate, but there are a lot of fluctuations in the timing of when cash comes in the door from customers and goes out for supplier payments and even payroll. So those are all factored in.
Keith Weiss: Got it. And maybe one follow up for Aneel, so if operating cash flow is kind of sort of a new -- sort of metric if you will for looking at growth. I think you have talked about this in the past about your ability to sustain topline growth 30% for some time. Is there a similar sort of long-term target where we should be thinking about for operating cash flow growth?
Aneel Bhusri: I think that question is for Robynne too. I would say that, I feel especially coming up in Q4, I do feel comfortable with the 30% topline growth that as relates to operating cash flow set back to Robynne.
Robynne Sisco: Yeah. I think over the long-term we would expect that operating cash flow would get closer to our revenue growth number, but as we are investing more in our business and we continue to expand internationally and hire very strategically and aggressively, it's going to be lower for some time.
Keith Weiss: Okay. Excellent. That’s very helpful.
Operator: Your next question comes from Alex Zukin with Piper Jaffray. Your line is open.
Alex Zukin: Thank you. The first one is for Aneel. Aneel, can you talk about what the new division of roles is going to be between Phil and Chano, where they overlap and is there any way to qualify what you’ve believe to be kind of the changes in from a sales management and distribution perspective versus this time last year?
Aneel Bhusri: Yeah. So very simply put, Phil’s been our Co-President now for two years and he was also acting as the worldwide Head of Sales and had other responsibilities including services, strategic customers, product marketing. So there were a lot of things on Phil’s plate. So it was natural at some point to pick somebody to run worldwide sales, and frankly, we've been talking about the change with Chano for last couple years and going into this year as we look to past $2 billion and we have a goal of being a much larger company, it was the right time to do it. We didn't even think about looking outside. We knew we have the right person internally and it's time for us to have a standard way of going to market across the globe and Chano’s way is a great way. So I'm very, very excited about him in that role and him working with Phil. I think the added benefit is we now probably have three of us who are very focused on large multinational opportunities and getting involved with them.
Alex Zukin: Got it. That’s helpful and may be, sorry.
Aneel Bhusri: I was going to ask Phil to add things he liked too?
Philip Wilmington: No. I think, that’s very true. I think the discipline that Chano brings and consistency. Consistency globally is very important for all of our global customers and our go-to-market strategy. And as it relates to the second part of your question in comparison the changes that we’ve made last year at this time, anything that we’ve announced today in terms of changes or last week when we announced these changes at our sales kickoff meeting, are very consistent with the foundation that we built over the last couple of years. The total clarity in our organization for mid enterprise was set up a few years ago and now has taken -- we have taken the next logical step, this same is true with Chano, I think, it’s a very consistent approach.
Alex Zukin: Got it. That’s helpful. Maybe one follow-up for Robynne, can you talk about any changes in contract duration or terms or pricing or what in your mind is kind of leading to that -- we see backlog growth reaccelerating. Is that, what’s driving that?
Robynne Sisco: Yeah. There are many factors that impacted backlog growth, particularly the timing and size of renewals and that renewals number is becoming increasingly larger as we grow. Also the duration of new contracts can have an impact on that as well. So, also one thing to note is that we will not be providing backlog going forward as the requirements under the new rules give different disclosure requirements. So we will have some new disclosures for you instead of backlog starting in Q1.
Alex Zukin: Got it. Thank you, guys.
Operator: The next question comes from Justin Furby from William Blair. Your line is open.
Justin Furby: Thanks, guys. Just two questions, first, Aneel, I am curious about the regular business, you clearly have a lot of mega enterprise activity. I want to know about -- sort of the regular enterprise in mid market and so sort what are you -- we are seeing there and your expectations going forward. And then you said you are comfortable with 30% in response to Keith question. I guess, how long, is that three-year, five-year, what were you referring to and you said that and I have got one quick follow-up for Robynne? Thanks.
Aneel Bhusri: So, it was a strong quarter across the Board. Our win rates were some of the highest and where we had stronger win rates. Frankly, we are in versus historical numbers was in the medium enterprise segment against the likes of ultimate enough suite. So really it was strong across the Board. The win rates against SAP and Oracle were as high as they have been in recent memory, but we’d also picked up some share points in that medium enterprise segment as well. So, I think, that bodes well for our organizational strategy going into this year. And 30% growth rate, there are so many things that factor into that, I would say that as we look at a planning horizon, we look out two years, beyond two years, I'd be guessing and I am not -- I’d rather not guess, but comfortably in two year, ask me in a year and it might be still two years and just keep pushing up right now as we plan and looking at pipelines I feel comfortable with that timeframe.
Justin Furby: So basically no real deceleration in fiscal ’19, I mean, is that just given financials in your view that will continue to inflect or what drives the confidence in that?
Aneel Bhusri: Well, we went into last year, hoping to reaccelerate the business and it did. So that provide some confidence going into this year that we now have the more products we have, the more coverage we have, and frankly, lots of our competitors ability is to get customers live, it really bodes well for us to continue to see high growth rates in the business. And I think that last piece, I have been hopping on it for two years now, but it is beginning to catch up with our main legacy competitors. They have just cannot produce referenceable customers at any scale which is why we added 13 Fortune 500 customers to the Workday platform and that's that same platform is a one we use for HR, the same one we use for financials and I think this point of customer success is going to come back to haunt those two companies, lack of customer success in their case.
Justin Furby: Got it. Thank you. And then, Robynne, just quickly, last quarter you offered mid 20 Subscription billings guidance for ’18, that seems like the mood is clearly better now than it was in early December. So, I guess, is it fair to say that you feel similar to better about that growth number if we weren’t going through these accounting changes? Thanks.
Robynne Sisco: Yeah. I mean, we are just not going to give guidance on billings, Justin, now or going forward. But, obviously, we had a great Q4. We are feeling good about this coming year and so let me just leave with that.
Aneel Bhusri: I would just say, we feel better right now than we did in during the earnings call for Q3, about -- less about our business but more about where the market is.
Justin Furby: Got it. Thank you very much.
Operator: Your next question comes from Phil Winslow with Wells Fargo.
Phil Winslow: Hi. Thank you guys for taking my question. You guys done a great end of the year. Aneel, just want to double click on planning again, you made some interesting comments about just sort of how you in terms of sort of position is offering just sort of unify manner but then also into the -- into other companies install basis. Would you think about just sort of the feedback that you’d been getting since a launch of planning and then also sort of your go-to-market intentions, why don’t if you just kind of double click on that planning, kind of what proof point are you think we should look to hear for planning?
Aneel Bhusri: We are two quarters into it and we have a 111 planning customers. We are two quarters into learning and I think the numbers right about the same. I think its 105 and 106. So if you just look at it from that perspective, where we have a very significant HR install base, you’d expect it that learning taking off like it did. Now learning is ahead of plan. The planning is well ahead of where we thought it would be and is clearly hitting a pain point around the budgeting planning forecasting area and as we bring out this FPM product and there is a very well-defined FPM marketplace is clearly striking a core not with just medium sized companies but with Fortune 500 companies. I mentioned that five companies are -- five Fortune 500 companies have signed up for planning those includes Wal-Mart, Nationwide, Stryker and Netflix. Those are big names and for us it's a great way to again we have got HCM, we have got planning, we are really well-positioned to run the tables within that enterprise when they do move their transactional platform as well. and I would --I’d also say, in the second half of the year also due to customer demand this Workday PRISM Analytics which allows you to explore both Workday data and other third-party data and get things around customer profitability, gets a things that really involve multiple data sets, that’s also another boost for both the financials play and the HR market.
Phil Winslow: Well, my follow-up is actually going to be on PRISM, so you actually answer that question. So thanks for that and congrats again.
Operator: Your next question comes from Heather Bellini with Goldman Sachs. Your line is open.
Heather Bellini: Hi. Great. Thank you. I just had a couple quick, while two quick ones and then one additional one. And just to start off, I was wondering if any of the rhetoric around ACA impacted deal signings in the quarter, we heard that from some of the other companies in payroll recently. So I was just wondering if you saw anything there. And then, I had a question just related to, I know you guys haven't disclosed it in a while, but billing from renewals, if that would something that that you guys were going to share? And then my last question was for Robynne, just the revenue guide for fiscal 1Q and the full year. Is there anyway maybe you’ve said this and I missed it, but the -- what the impact was related to the transition to fix effects, just we can compare apples-to-apples versus what was said on last quarter's call?
Aneel Bhusri: So, on ACA [inaudible] and I asked Phil, no impact at all. Frankly, that never crossed my radar. In terms of renewals…
Heather Bellini: Renewals.
Aneel Bhusri: I will just say is, it was over 100%.
Robynne Sisco: Yeah.
Heather Bellini: Okay.
Robynne Sisco: And we are not going to provide any guidance under the old standard, Heather. But it's reasonable to assume that the impact for FY18 is not that different from the impact to ‘17 on new standard.
Heather Bellini: Okay.
Robynne Sisco: … with is something like you have.
Heather Bellini: Yeah. Great. Thank you.
Operator: Your next question comes from Kash Rangan with Merrill Lynch. Your line is open.
Kash Rangan: Hi. Thank you very much. Let me offer my congratulations. Aneel, sometime back you said that financials as a percentage of net new ACV could reach about 50% of the company’s net new ACV in the few years from now. I wondering if you can just give us an update on how you think about financials as a percentage of net new ACV and/or should we be thinking about other aspects of the company, planning product, analytics products, et cetera, that should really be considered as a larger context, not just be narrowly focused on financials? That’s it for me. Thank you.
Aneel Bhusri: Well, so, first of all, our definition of financials, I will put into three chunks. There is core financials, which is basically core accounting, general leader, APAR asset management. The second bucket is Financial Performance Management, which includes planning. And the third is spend, which is procurement and expenses. So all three of those categories are part of the financials product line and is why we're bullish that is going to continue to become a bigger and bigger part of our business. I don't know when it is 50% of new of net new ACV, but it’s a -- we expect it to start moving significantly down that path this year and without getting into lot of detail, we have a lot of conference both and the people, the pipeline and the incentives to make that happen.
Kash Rangan: Got it. And if I could slip in one on the PP&E side, certainly for your -- for the size of the company, it is a big number, how should we think -- we would be thinking about the payoff in terms of how big these markets can be, how much this CapEx can different so far incremental Subscription revenues or big new absentees? That’s it for me. Thanks.
Robynne Sisco: Hey, Kash, it’s Robynne. Our CapEx spend is primarily around our customer datacenters and so that then continues to grow as we increase our customer base. There is also some spend in there on facilities for expansions internationally.
Operator: Your next question comes from Richard Davis, Canaccord. Your line is open.
Richard Davis: Okay. Thanks. Aneel, you kind of touched on it, but do you feel that the mid market HR effort is button-down sufficiently to the point where if I was a salesman on that product, this was just kind of year of executions. In other words that the ducks in a row, you got the TCO down in the right spot, et cetera, sweet spot in the quarter right now? Thanks.
Aneel Bhusri: Every sale is hard work, but I would say, what’s different from last year, last year I had a sales rep level, we were split between large enterprise and medium enterprise. When you got to the national level a given regions, say, like the eastern region had coverage for both large enterprise and medium enterprise. This year we have taken it to the point where there is a senior executive who reports, the two senior executives report directly to Chano who responsible individually for large enterprise and medium enterprise, at a sales level, at a regional level, at a sales support level and importantly at a services level. And the services level is key, because you go into a project and one day you are bidding on Fortune 50 company. The next day you are bidding services on a 1,000 person high growth company and they require very different types of bids, and so now we have services model that is very align with the sales model. I think that's probably the biggest boost going into this year.
Richard Davis: Got it. Thank you so much.
Aneel Bhusri: We have time for two more questions.
Operator: We will now take two more questions. Our next question comes from Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Thanks very much and congrats on the quarter. Aneel, we’ve spoke at the end of last year, the couple things you brought up, given around fiscal ’17, was the idea that some of the enterprise adoption financials was little bit slower than you guys said obviously hope for it very high end of market and it’s sounds like you have some products out right now that you think [Technical Difficult] (48:45) or at least get people to sort of take a look at the product where special around EPM. I was just curious, with the split between enterprise and medium size, so say, the enterprise and medium size sales arms. Is there real change in terms of what quarter bearing reps would be carrying in either of those organizations may, I was trying to get sense on, is there going to be higher emphasis on sort of specialist that can come in, in the medium -- I was just trying to get sense of there was any sort of change on how, what they were carrying in their bag? Thanks.
Aneel Bhusri: So, in terms of the reps across the globe, they will carry all products in their bag. For large enterprise in North America, we have assigned a handful of reps who are going to focus on the highest priority accounts and have direct quarter responsibility, these are reps that really know our financial products well and some ways our financial experts and they will have primary account responsibility for select group of accounts that really fit our profile and that number is less than 100, but it’s a very important group of accounts.
Kirk Materne: Okay. And just maybe one follow-up for Robynne. Robynne, with 606 and I might be mistaken on this, I think, we get more details just in terms of your filings just surround contracted business and I assume we will get more disclosures on that front, the guidance is still going to be predicated just on sort of an annual operating cash flow, is that fair assumption?
Robynne Sisco: That’s correct.
Kirk Materne: Okay. Great. Thanks guys.
Operator: Your last question comes from Raimo Lenschow with Barclays. Your line is open.
Raimo Lenschow: Hi. Thanks for that. Can I just follow-on on Kirk’s question here. If you get contracted business but not billed and the way we could calculate almost what your bookings was. Is there some error in my thinking? You obviously differs to talk about that. And will you give us this kind of metrics looking backwards as well as now or did that really start in Q1?
Robynne Sisco: It -- so it’s starts in Q1, although, you will get the Q4 balance at time and really that the disclosure is it future subscription revenue and so it will vary unlike backlog did based on the duration of the contracts, the timing of renewals and other such things, so it will be somewhat similar to backlog, but backlog represented future billings and this disclosure will represent future revenue, so slight difference there.
Raimo Lenschow: Okay. And one quick one for Aneel if I may. Hey, Aneel, the -- if you look at the your planning like if you have after conversations, how deep is your planning goal in terms of kind of running the whole customer business where is more deep or like more business units and how do -- what do you think in terms of how quickly you can get these guys to convince to go to full Workday, I think, including the core then, is that kind of like, do you see the new normal will be kind of more modern planning platform and people just leave the old legacy stuff to do the accounting or do you think that will eventually change?
Aneel Bhusri: No. I think people, I think, 606 is a great example. People going to have to change their core accounting platforms and then medium enterprise and now several large enterprise companies they are changing out there accounting platforms, frankly, this planning opportunity is a sound opportunity we were able to move quickly into the market and basically get another revenue stream. So I don't see people deferring their core accounting issues, because 606 is the first of many changes coming down the path, if you're running Oracle or SAP financials, you are going to have a lot of time getting to 606 with Workday is great up by Robynne and her team, but the platform enabled that and I think there’s a lot of people that are going to take notice how quickly we move to a very important revenue recognition standard, which you have to start with the underlying accounting system. On the FPM opportunity, it's not departmental, it's enterprise-wide, most companies are using it for financial planning and analysis, some are using it for basically for human capital planning. With this new SKU that basically couples planning with consolidations, management reporting and analytics, it's very attractive then can be run by many Fortune 500 companies along with their HR system and I think it just sets you up to a place core accounting down the road. Again, I will use the analogy, core accounting looks very similar to us as we’ve now look at all the data the payroll. There are many cases in the first several years of HR where we won the HR deal, but they don’t want to touch payroll and now our payroll attach rate is over 60%. And people came back after they went live on core Workday HR, again, let’s move to that, let’s unify that platform, I think the same thing will happen with core accounting, if they don't choose core accounting up front.
Raimo Lenschow: Perfect. Very clear. Thank you and well done.
Operator: We thank you for participation in today’s earnings call. You may now disconnect and have a great day.